Operator: Good day and thank you for standing by. Welcome to the REE Automotive’s Fourth Quarter and Full Year 2024 Financial Results Conference Call. At this time, all participants are in listen-only mode. After the speaker's presentation there will be the question-and-answer session. Please be advised that today's conference is being recorded. I will now hand the call over to the company. Please go ahead.
Dana Rubinstein: Good morning and thank you for joining us on today’s conference call to discuss REE Automotive’s fourth quarter and full year 2024 results. During the course of this call, management will make, express and imply forward-looking statements within the Private Securities Litigation Reform Act of 1995 and other U.S. Federal Securities Laws. These forward-looking statements include, but are not limited to those statements regarding the company’s financial condition, including the impact that it will have on REE’s future business and plan, its ability to implement its current business including as impacted by the growing concern, it’s plan to address its growing concern including through a significant reduction in operational expenses which includes a reduction in force, it’s need to obtain significant additional financing, the growing demand for REE’s products and technology from OEMs and technology companies as reflected in expanding customer reservations and deepening engagement with OEMs, the ability to generate revenue from REE AI cloud, the implementation of the next phase of our mission, REE’s ability to generate software based revenues both in the near-term and long-term, REE's software based business being less capital intensive, REE's ability to license its technology and its broader transition toward a subscription based revenue model, it’s plans regarding production of its P7 lineup, REE's ability to integrate our software alongside existing products from OEMs and technology companies, delivery of initial trucks to its North American customers and the timing thereof, its ability to improve its operational efficiencies, impact of U.S. tariffs and trade policies on its business in 2025, addressing our supply chain and reassessment of production including to tariff uncertainties and our Q1 2025 expected cash. Such forward-looking statements and their implications involve known and unknown risks, uncertainties and other factors that may cause actual results or performance to differ materially from those projected. The forward-looking statements during the course of this call are subject to other risks and uncertainties, including those discussed in the Risk Factors section and elsewhere in REE's Annual Report on Form-20F for the year ended December 31, 2024, filed with the Securities and Exchange Commission and elsewhere in subsequent filings with the Securities and Exchange Commission. Today's call is hosted by Daniel Barel, REE’s Co-Founder and CEO; and Hai Aviv, REE’s Chief Financial Officer. I will now turn the call over to Daniel Barel.
Daniel Barel: Welcome everyone, and thank you for joining us today. We are pleased with our performance in 2024. We began this journey over a decade ago and I'm encouraged by the progress we made this year. The milestones achieved have laid a solid foundation for REE as a differentiated technology company in the automotive industry. I'd like to take some time to recap our 2024 and provide you with some recent updates. We saw demand increase significantly for our technology and we reached several critical technology milestones reinforcing our position as a leader in the SDV space. Notably, we received the first Federal Motor Vehicle Safety Standard Certification for a full-by-wire vehicle in the U.S. Also, Airbus in collaboration with us, successfully completed the first autonomous drive on an active runway using our SDV technology. We launched REEai Cloud in collaboration with Geotab, introducing vehicle services and advanced data analytics that provide predictive maintenance and optimize operations, opening up a path for what we see as a new software revenue opportunity. 2024 was a breakthrough year for RER. Our achievements point to one thing, our vision for REE is coming to life. Our technology has been tested on the road under real-world condition and within a commercial framework. This is a critical time in the industry as we see it converge of electric, autonomous and connected vehicles, all of which we see as an opportunity to tap into through our scalable software-driven platform. With that said, while we entered 2025 with this positive momentum, we have recently experienced unprecedented and unpredictable challenges. The current U.S. Tariffs and trade policy has significantly impacted our supply chain, similar to many in the global automotive industry. More specifically, over 2024 and beginning of 2025 we have tirelessly worked and deployed our raised capital towards hitting the key milestone needed to work out way towards putting vehicles on the road. We achieved the first FMVSS certification for a full by-wire vehicle in the U.S. Advanced production of certain vehicles, worked to prepare U.S. facility for scale manufacturing, included product tooling, solidified our order book and signed a significantly large nonbinding MoU to integrate our technology into our customers’ autonomous shuttles. Unfortunately, the U.S. Tariffs and trade policy created an environment that make it significantly challenging to continue to move our original plan forward for the time being. As such, we have made a difficult, but prudent decision to temporarily pause, not stop production until the situation stabilizes. Until we see the uncertainty around the broader tariff environment settle, we are focusing on what's in our control. Once the tariffs and trade situation stabilizes, we would look to address our supply chain accordingly and reassess our post production. In the meantime, we remain in active dialogue with our suppliers and customers and we are looking at solutions to elevate the pressure that we and the entire auto industry are experiencing currently. We are also in discussion with technology companies on new autonomous programs and are restructuring our technology teams to focus on software programs. We are encouraged with the accelerated progress that our software business has made, which we now view as mature and gaining traction in the market as we are actively engaging with OEMs that are interested in our software. Our view is that SDV is the cornerstone of the technology, which we find to be incredibly important for the future of mobility. It's not just about the EV itself, but rather about intelligent vehicle and the intelligence they can bring to both passenger and commercial marketplace. We are focused on generating revenue across both the near-term and long-term for a software business. In the near-term, we are working closely with OEMs and technology companies to integrate our software alongside their existing product, ensuring a seamless fit within their platform and accelerating adoption. Looking further ahead, we're advancing our strategy to license our technology as part of our broader transition for the subscription based revenue model. This dual approach not only meets what we see as current market demand, but also position us for sustained recurring revenue. In addition to pausing production and accelerating the prioritization of our SDV business, we will be laser focused on cost reduction. We intend to significantly reduce our monthly burn by reduction of operating cost and adjustment of headcount and leadership structure. As you can see, while the broader macro environment has negatively impacted our business plan and all the excellent work and progress we made in 2024, we remain nimble and are exploring paths to deliver for our shareholders while working in parallel to accelerate our software offering, which we'll go into more details about later in the course. I'd like to turn the call over to Hai, to discuss our financial milestones and a review of our financial results.
Hai Aviv: Thank you, Daniel and hello everyone. In 2024, we strengthened our financial position. Our liquidity improved to $72 million inclusive of $18 million credit facility at the end of the year, reflecting the impact of two successful registered securities offerings. These offerings raised approximately $60 million in gross proceeds, including $45 million from M&G and Motherson Group in September 2024 and an additional $50 million earlier in 2024 from M&G. In the first quarter of 2025 we raised an additional $36.5 million in gross proceeds through two more registered offerings, each led by M&G and Motherson Group. During the last 12 months we have spent approximately $75 million on production readiness and R&D completion. Looking ahead, we will continue to prioritize enhancing our capital position with plans to expand financing options that will enable us to accelerate our technology driven strategy. Now turning to the P&L, for the full year our GAAP net loss was $111.8 million, a slight improvement from $114.2 million net loss in 2023. This was primarily driven by lower engineering and R&D expenses as we completed substantial portion of the P7 program R&D phase along with operational efficiencies that helped to reduce overall operating costs. However, we were impacted by non-cash losses related to the remeasurement of warrants and derivative liabilities. On a non-GAAP basis, our net loss improved to $70.3 million from $98.3 million in 2023. This improvement was driven by reduction in engineering and R&D expenses and operating efficiencies as mentioned earlier. In Q4 2024 our GAAP net loss was $37.3 million compared to $38.5 million in Q3 2024 and $35.2 million in Q4 2023. The quarter-over-quarter improvement was primarily driven by lower non-cash losses related to remeasurement of warrants and derivative liabilities, partially offset by higher cost of revenues associated with the production of the P7 vehicle. The year-over-year increase in net loss was primarily driven by non-cash losses from the remeasurement of warrants and derivative liabilities partially offset by increased nonrecurring engineering development cost in Q4 2023. Our non-GAAP net loss in Q4 was $19.8 million compared to $16.8 million in Q3 2024 and $32.2 million in Q4 2023. The quarter-over-quarter increase was largely driven by the higher cost of revenues associated with the production of P7 vehicles. The year-over-year improvement was mainly attributed to higher nonrecurring engineering development costs in Q4 2023 compared to Q4 2024. A reconciliation of GAAP to non-GAAP measures have been provided in the financial statements tables included in our earnings press release. We continue to narrow our free cash flow burn year-over-year, thanks to the operational efficiencies and the completion of significant R&D efforts. As part of our ongoing financial review, due to the recent changes in the macroeconomic environment and tariff situation negatively affecting our ability to bring our P7 to the market as planned and affecting our ability to raise debt which directly impact our revenue forecast, Management has determined that there is substantial doubt about our ability to continue is a growing concern for the next 12 months. Our plans to alleviate these growing concerns includes temporarily pausing production and significantly reducing costs, adjusting headcount with a view to optimize the corporate structure to become more flexible in the face of industry uncertainty. We will announce details of this in the near future, but for now investors should expect significant reduction in operational expenses alongside the production pause. We'll be announcing Q1 results promptly, but our expected Q1 2025 cash and cash equivalent balance is approximately $79.6 million, including credit facility of $80 million and we remain committed to providing OEMs with differentiated technologies that we have custom built over the years. I'll now turn it back over to Daniel for his closing comments before going to Q&A.
Daniel Barel: As you've heard today, we made meaningful progress in 2024 technologically, commercially and financially. REE is and has always been a technology company. Our mission from day one has been to create a scalable, technology-driven mobility platform built on both software and hardware. We were never focused on becoming a traditional OEM. Today, we are accelerating the next phase of that mission, enabling the future of mobility by partnering with OEMs, technology companies and others to bring vehicles built on our proprietary SDV technology to market faster, with better performance and with more efficient manufacturing. The critical question for REE in recent years, has been identifying the most effective business model to bring our technology to the customer who need it most. We are seeing the answer through a path of developing our technology through less capital intensive means, including licensing and partnership models. We embarked on a journey towards mass production in order to demonstrate our technology and its capabilities, and while this remains important, it is not the only path forward. Given the hindered uncertainty and risk in today's production environment, we've made a strategic decision to focus on our software technology. This decision is rooted in a commitment to being good stewards of capital. Preserving cash today allows us to preserve flexibility for tomorrow, ensuring we can adopt as market conditions evolve. Importantly, we are not resting on our laurels. Our technology can be deployed through less capital intensive means, including licensing and partnership models. We are actively advancing several commercial opportunities along these lines and we remain confident in our ability to pursue potential long-term profitable growth even in the face of broader industry and trade headwinds. Our future lies in providing the software and intelligence that will drive tomorrow's vehicles. We envision that through recurring revenue and margin expansion, which is increasingly important in today's market. Through our software first approach, OEMs and technology companies can leverage our modular SDV technology to design and develop vehicles more quickly and cost effectively without the need for costly hardware design. We are gaining traction in the market, illustrating to OEMs and technology companies that we are here to be a solution for them, not another competitor. The growing interest in our SDV technology reflected in the expanding customer reservation and deepening engagement with OEM underscores the market validation of REE's risk strategy. We believe that these collaborations strengthen our credibility and position us as a reliable enabler of SDV innovation, giving OEMs and mobility technology providers the confidence that REE can support their growing demand and requirements for the next generation of vehicles. The future of mobility is evolving and so much the way vehicles are built. REE’s role is to support OEMs and suppliers with a flexible platform that enables better performance, faster adaptability and more efficient manufacturing. By doing so, REE is helping others succeed while also building a more sustainable, scalable and profitable business model for ourselves. We believe that this approach will allow REE to move faster to market and be more profitable, an essential advantage in today's economic climate. We believe our technology is matured and the customer demand is strong and we are advancing into a more scalable and profitable phase of our growth, guided by our technology first model and commitment to supporting the industry's transition to software defined mobility. With that operator, please open the line for questions. Thank you.
Operator: Thank you. [Operator Instructions] We will now take the first question from the line of Poe Fratt from A.G.P./Alliance Global Partners. Please go ahead.
Poe Fratt: Yes, good afternoon, Daniel. Good afternoon, hi. The first question I had was, can you talk about the conversion of the MoU to a definitive agreement and do these changes potentially push out the timing of that finalization or have any impact on the MoU as you see it right now?
Daniel Barel: Hey, good morning, sorry. Thanks for the question. Regarding the MoU, currently we don’t see any change in the time line that we have indicated. We have already started to receive payments from that MoU on services that we’ve been delivering and currently we believe that we are on track to what we previously announced in terms of timeline.
Poe Fratt: Great. And Hai, could you repeat the first quarter cash balance and, ignore the credit facility. What is the actual cash that you had on the balance sheet at the end of the quarter?
Daniel Barel: The first quarter, that is.
Hai Aviv: Yes. Thanks Paul, for the question. So, it’s $61 million excluding the credit facility for the end of the first quarter.
Poe Fratt: And just if I may, if I could ask about, I know you want to, you don’t have, you’re going to release details on the restructuring and your plan going forward. None of these potential changes impacted your run rate in the first quarter, am I correct? And secondly, can you talk about your cash burn, if you will, the starting point from which you’re going to start to cut costs? Is it roughly $18 million to $20 million of cash burn in the first quarter that you’re going to look to narrow? Can you talk about headcount at the end of the quarter and maybe give us a little flavor on. You talked about restructuring the leadership team. Can you talk about how that might shape or how that might change the leadership structure?
Daniel Barel: Sure. So as we said, we are taking immediate actions to reduce our cash burn, including cost of our production, discussions with our suppliers and of course, significant reduction in our operating costs. We previously communicated that the anticipated operating expenses will be between $6 million to $6 million a month. We ended, as we said the quarter with $61 million. And going forward we plan to reduce the operating expenses over time and to reach an operating expense of between $3 million to $4 million by the end of the year.
Poe Fratt: Great, thanks. Thank you so much. That’s helpful.
Operator: Thank you. [Operator Instructions] We will now take the next question from the line of Poe Fratt from A.G.P./Alliance Global Partners. Your line is open.
Poe Fratt: Yes, sorry. Daniel, can you talk about your, the reservations and whether these changes potentially, change the reservation book? They’re non-binding reservations to begin with, but have you seen any cancellations or do you anticipate any cancellations? And then can you just talk about the path to first, to first revenue or the ramp in revenue? Can you just sort of highlight how much that might have shifted out into the future?
Daniel Barel: Sure. Regarding the reservation, of course we’re working with our customers to assess the current production situation and it’s basically affecting everybody here in the industry. And we believe it’s important to remain in open dialogue, in active dialogue and work collaboratively to finding solutions for that. The good news is our customers are telling us that their interest in our product has increased given our SDV, our software defined vehicle. And not just because it’s an EV with great of course characteristics and offering. But the strongest sell point that we hear from our customers is the software defined vehicle technology that we have now. We believe that the $1 billion, close to $1 billion in reservation, which of course includes binding orders and capacity reservations such as the previously mentioned MoU and others, prove that there is a strong demand for our technology. And due to the fact that we’re temporary depositing production, it’s a little bit too early to say when we’re going to be resuming production and therefore to assess when we’re going to be ramping up deliveries and generating revenue from deliveries. With that being said, we’ve always said that we are a tech company and technology, it’s in our core and, we’re very excited by the fact that, we currently believe that the, our technology is mature and we have demand for that it, the software defined technology, the software itself. And that actually allows us to move our focus in the interim as we evaluate the macroeconomic conditions and tariffs. We will be focusing more and more on our software business. And it’s worth mentioning also regarding the MoU that there is a good portion there that is also related to that and we believe that we would be having great products to the market around our software in the meantime where our goal is to generate revenue from software and software related business in the interim as we continue to assess.
Poe Fratt: Great. Thank you.
Operator: Thank you. I will now like to turn the conference back to Daniel Barel for closing remarks.
Daniel Barel: Thank you. And thank you everybody for taking the time today. I think we’re seeing, as we said, some challenging times in the industry and I’m very proud of team REE and their accomplishment not only in 2024, but the way they have are handling the current situations in 2025. I see an amazing team of people that give me a lot of confidence that they’re able to, manage the current situation well and to generate strong and significant value for our shareholders. And with that, I want to thank everybody again for the time today. Thank you.
Operator: This concludes today’s conference call. Thank you for participating. You may now disconnect.